Operator: Welcome to the Northland Power conference call to discuss the fourth quarter and year-end 2025 results. As a reminder, this conference is being recorded on Thursday, February 26, 2026, at 10:00 a.m. Eastern. Present for this call are Christine Healy, President and CEO; Jeff Hart, Chief Financial Officer; and Adam Beaumont, Senior Vice President of Capital Markets. Before we begin, Northland's management has asked me to remind listeners that all figures presented during today's call are in Canadian dollars and to caution that certain information presented and responses to questions may contain forward-looking statements that include assumptions and are subject to various risks. Actual results may differ materially from management's expected or forecasted results. Please read the forward-looking statements section in yesterday's news release announcing Northland Power's results and be guided by its contents when making investment decisions or recommendations. The release is available at www.northlandpower.com. I will now turn the call over to Ms. Christine Healy. Please go ahead.
Christine Healy: Good morning, everyone. Thank you for joining us. I'll begin with an overview of our strategic priorities and an update on our 2 large construction projects. Jeff will then provide a review of our fourth quarter and full year financial results as well as our 2026 guidance. Following our prepared remarks, we will open the line for your questions. In 2025, we made progress across our operational, financial, and organizational priorities. We expanded and reinforced our leadership team with the addition of new executive members. We introduced a new global strategy outlining our growth priorities, a 5-year funding plan and how we will create long-term value for shareholders. We advanced our construction projects, completing key milestones at our 2 offshore wind projects, Hai Long in Taiwan and Baltic Power in Poland. And following the successful completion of Oneida last year, we are advancing our second battery storage project in Alberta, Canada, called Jurassic BESS. Executing these projects is our primary focus through 2026. And together, they will add 2.2 gigawatts of capacity by 2027. And we delivered on our financial commitments, achieving our adjusted EBITDA guidance and outperforming on free cash flow per share. Our performance in the fourth quarter was supported by 96% operating availability and record high generation from our German offshore wind assets. Before we move into the strategy, I want to take a moment and emphasize that our performance is underpinned by our commitment to our people. As I've talked about before, health and safety are core values for Northland. In 2025, we reinforced this commitment with the launch of our 12 Golden safety rules. These rules are nonnegotiable and ensure that our standards are consistently understood, respected, and applied across all work environments. A safe workplace is the prerequisite for the work we do. Building on that foundation, we are advancing a strategy focused on disciplined growth and long-term value creation. We're at an inflection point in electricity markets. After decades of flat electricity demand, we're entering a period of rising demand that some call a power super cycle. It's driven by electrification, industrial growth, population growth, urbanization, and a rise in AI demand. As power generators, our strategy plans to capture this momentum and double our gross operating capacity to 7 gigawatts by 2030. This is not just about scale, it's about focus and finding the right high-quality projects that add real value to our business. Our focus on achieving specific free cash flow targets by 2030 is more than a goal. It is the lens through which we evaluate every capital allocation decision we make. To strengthen our 2030 goals, we're focused on 3 pillars: Deliver, strengthen, and grow. The deliver pillar of our strategy is focused on operational performance and successfully bringing 2.2 gigawatts of projects under construction into operation. Our track record of executing and delivering large-scale projects is one of the things that sets Northland apart. The strengthen pillar is about building a foundation for scale, including our target of $50 million in annual cost savings by 2028. To support this, we have already transitioned to a regionally focused operating model, split into the Americas and international business units, designed to build scalable platforms in our core markets and capture operational leverage by clustering assets in those core markets. This structure streamlines how we operate, enhances local accountability, and maintains global standards. At the same time, we have centralized all of our development activities into one global organization. This ensures that every project, regardless of technology or geography, competes for capital on a consistent basis, so only the most value-accretive projects move forward. Finally, under the grow pillar, we continue to high-grade our pipeline, advancing new capacity to supplement our current construction. An example of this is the 2 recently acquired late-stage battery storage projects in Poland. This acquisition alongside Baltic Power demonstrates our strategy of clustering high-value assets in a core European market. Our approach is technology agnostic, focusing on our core markets where fundamentals are strongest. Our plans for Europe are driven by an ongoing and increasing need for energy security. I recently attended the North Sea Summit, which took place in January, where 9 European governments reaffirmed their commitment to expand offshore wind in the North Sea through a coordinated regional approach, including up to 100 gigawatts of projects by 2050 with an interim target of 20 gigawatts for the 2030s. This North Sea Summit outturn is a consistent theme we see across Europe, a commitment to build-out of renewables for decades to come, offshore, onshore, and battery storage. For developers like Northland, this provides important long-term demand visibility. Greater policy alignment and infrastructure coordination should help reduce development friction, improve permitting timelines, support enhancements to the supply chain, and ultimately enhance capital efficiency. Europe continues to show conviction that offshore wind will play a critical role in meeting the region's energy demand and advancing the clean energy transition, strengthening energy security, improving affordability, and supporting industrial competitiveness. And in Canada, electrification and industrial growth are accelerating the need for new supply. Canada continues to be a growth market for us with every province forecasting power demand growth. We see opportunities in several of our technologies, including gas-fired generation and battery storage. To capitalize on this opportunity, our 5-year growth and funding plan has been set with the right foundation, supported by an investment-grade balance sheet. We've increased our project return thresholds to a minimum of 12%, demonstrating that we will invest only in the most value-accretive opportunities. We are focused on advancing the opportunities where we can apply our global expertise to local execution. I'll turn now to more specific details on construction progress. At Hai Long, we've reached several major milestones, including the installation of all 73 foundations, all 4 export cables, and both offshore substations. To date, we have successfully installed 37 turbines, 20 of those turbines are now actively generating power. The project team has been working hard over the winter to optimize our schedule and have had a crew on standby to continue commissioning when weather permits. As we've discussed in previous calls, offshore Taiwan, we work with a weather window, so full in-water activities will resume in earnest later in April when that weather window reopens. The project is on track for commercial operation in 2027. At the Baltic Power offshore wind project in Poland, we achieved 2 key milestones this quarter with the completion of all monopile foundations and the completion of grid interconnection works by the local utility. We also completed the installation of both offshore substations, 2 of 4 export cables, and 30 of the project's 76 wind turbines. The project is on track for commercial operation in the second half of 2026. We're also making strides in our battery storage portfolio. At Jurassic BESS in Alberta, foundations have been installed and the battery packs have arrived in Canada. The project is on track for commercial operation in 2026. Looking ahead, our priorities are clear: Deliver our construction projects, optimize the value of our operating portfolio, and advance and high-grade our development pipeline. The recent acquisition of 2 late-stage battery storage projects in Poland adds scale to our European platform. We continue to advance both projects, having signed their battery supply agreements, and we're currently finalizing other procurement activities ahead of financing and the start of construction expected later this year. Building on our expertise and experience from the Oneida project in Ontario, we continue to see opportunities to expand our battery storage portfolio, and we are actively evaluating several projects. In November, we completed the required performance test for a 23-megawatt capacity upgrade at our Thorold natural gas-fired facility in Ontario and officially secured a 5-year contract extension through 2035. These are all examples which underscore the progress underway across Northland. Our disciplined approach to capital deployment, project execution, and excellence in operations delivers energy for our markets and value for our shareholders. I'll now turn it over to Jeff to walk us through the financial results.
Jeffrey Hart: Thank you, and good morning, everyone. As Christine noted, we achieved our 2025 adjusted EBITDA guidance and exceeded free cash flow guidance. Strong winds at our offshore assets in Q4 and lower curtailment from grid outages resulted in higher-than-budgeted production and a 21% overage from the same quarter of last year. Our high operating availability of 96% allowed us to capture that benefit. The quarter also benefited from contributions from the Oneida energy storage facility, that commenced operations in May of last year as well as increased market demand for dispatchable power at our natural gas facilities as a result of cold weather and third-party facility outages in Ontario. Adjusted EBITDA in the quarter was $390 million, a 25% increase compared to the fourth quarter of 2024. This increase was primarily due to higher production from offshore wind, contributions from Oneida, and increased market demand at our natural gas facilities. Net income for the quarter was $290 million compared to $150 million in 2024. And free cash flow per share for the fourth quarter was $0.46 compared with $0.31 in 2024. Turning to the full year. Adjusted EBITDA for the full year was $1.25 billion, in line with 2024 as lower offshore wind resource in the first half of this year offset contributions from Oneida and strong performance at our Americas onshore wind assets. Free cash flow per share for the full year decreased to $1.46 from $1.53 in 2024. The year-over-year decrease was mainly due to higher scheduled debt repayments, lower offshore wind resource, and the nonrecurrence of certain onetime items, partially offset by contributions from new assets and lower current taxes. For the full year, Northland recorded a net loss of $108 million compared to net income of $371 million for the full year of 2024. This reduction is primarily due to a noncash impairment for Nordsee One recorded in the third quarter of 2025. And we continue to advance our major construction projects. As at December 31, Hai Long and Baltic Power have less than $4 billion of capital expenditures remaining to be incurred. Overall, both construction projects are continuing on track for commercial operations with overall costs aligned with original expectations. As reported last quarter, Hai Long turbine commissioning has been slower than expected, and it could impact pre-completion revenues and equity injections in the amount of $150 million to $200 million Northland share. The shortfall in pre-completion revenues outlined above can be funded by several sources, including liquidity, corporate liquidity. However, we and our project partners are actively looking at optimizations at the project level to provide funding, and we'll provide an update on this by midyear. Turning to our 2026 financial guidance. We expect 2026 adjusted EBITDA to be in the range of $1.45 billion to $1.65 billion, an increase of approximately 25% from the $1.25 billion delivered in 2025. The key drivers of this increase will be contributions from Hai Long and Baltic Power as well as full year contributions from Oneida and the commencement of operations at the Jurassic BESS project in Alberta. These increases will be partially offset by lower contributions from Nordsee One following a scheduled step down in the feed-in tariff mechanism. We expect 2026 free cash flow to be in the range of $1.05 to $1.25 per share compared to the $1.46 per share in 2025. The year-over-year decrease is due to several onetime items totaling $0.22, which benefited 2025, including a German tax refund, deferral of Spanish debt repayments, and other items. This decrease is also attributable to ongoing foreign exchange hedging costs, higher debt service for the natural gas assets, and the cessation of capitalized interest on our hybrid debt as we enter operations in Baltic Power. Partially offsetting this decrease is the additional contribution from Baltic Power, representing approximately $0.20 per share. For 2026, we assume development expenditures of approximately $50 million, and this will be focused on selective opportunities in our core markets of Europe and Canada. Now turning to our balance sheet. With more than $900 million of available liquidity and our investment-grade credit rating, we are well positioned to execute on a disciplined capital allocation plan. With that, I'll hand it back to Christine.
Christine Healy: Thank you, Jeff. We are focused on delivering the strategy we set out in the fall and advancing the new projects that will add value and double our capacity by 2030, and we look forward to updating you on our progress. That concludes our prepared remarks. So operator, can you please open the line for questions?
Operator: [Operator Instructions] And our first question comes from Baltej Sidhu of National Bank of Canada.
Baltej Sidhu: So your 2026 guidance is comfortably above consensus. And just reflecting on last year's weak wind resource in the first half, acknowledging the incremental diversification from projects like Hai Long and Baltic. Could you shed any light on the downside protection that's embedded in your outlook and how you approach risk in your assumptions to the P50 production forecast?
Jeffrey Hart: Yes. So I can take that and then Christine can add on. I think, look, we've been consistent with how we outlook on the wind resource. It's consistent with long-term averages. And so we continue to forecast based on that off of our operated -- our current operated facilities. And so I think you can see this year is Q1 and Q4, as we've always talked about, are always the heavy wind periods. And so we did have lower wind in 2025 in the first half and particularly kind of through Q1 and we captured much -- a good chunk of that back in Q4 with record pace. I think -- look, I think where we look at this is the long-term average in the P50 is the right spot to be. We'll have some variability and volatility in that, but we continue to not deviate from that, and I think we're comfortable with where we sit on that. And then the other piece when you look at on guidance is, obviously, there's a big piece on execution on the construction projects and the EBITDA contribution between Hai Long and Baltic. And I think, for us, as you can see and where we've been in Hai Long, we did have the weather window here. And as we talked about, I think, at Investor Day in the quarter, we had a cut last quarter, only about 2 turbines running at the start of that weather window. We felt it wasn't prudent to assume that we could get out there depending on weather, and we're currently in and around 20, which I think is better than what we expected coming out of the weather window. But we're still managing. And you can see with the assumption around our equity injection or potential equity injection, we're evaluating things at the project level. I think we're being prudent on our cash resources to make sure we've got funding mechanisms for it. And then as far as Baltic Power goes is I think we've seen good execution, but we -- I never say comfortable. The big thing I want to leave with you is execution on these construction projects, and that's the biggest thing that we've got to be on top of this year. The wind will blow on the operating assets, and we'll leave it at a P50.
Christine Healy: I guess, I can add a bit more color to that, and thanks for your question, Baltej. I think maybe not showing up so much in the numbers is the fact that this winter has actually been a very tough weather window at Hai Long and getting offshore has been challenging. So I think we were right to be conservative in our approach to that. The weather window should reopen in April, and we're ready to go with that. But then we still have a lot to go in the project. So I think it's wise to be prudent in how we approach what we expect to happen through the rest of the year. At Baltic Power, we've seen that there's actually been very good in-weather performance in the last -- in water performance in the last few weeks. But probably not everybody is staying up to date on weather trends in the Baltic Sea, but it's also been very, very cold, which does affect the operational tempo. So I think we've been prudent in our approach this year to understand what could happen with the projects and our guidance reflects that.
Baltej Sidhu: Thanks. That's great color. And just to leverage some of the elements that you both alluded to, you have a bit more than half of the turbines you initially had expected to be energized at Hai Long. And there's been a good amount of progress since the Capital Markets Day, as you alluded to in your prepared remarks. Could you provide any details on how the recovery plan is progressing from here? And what feedback or visibility are you receiving from Siemens regarding execution and full path to completion?
Christine Healy: So obviously, it's very much on our minds, and we're extremely focused on it, both at the project level and also here at Northland. I'm in regular contact with Siemens, and so we have a regular dialogue sort of zippered up in both organizations. I think all of this is, Siemens is very committed to getting the work done and getting the work done as efficiently and effectively as possible. And so now it's all about preparation because we -- with the weather window currently closed, it actually gives us a bit of time to make sure that the planning is right and that we've got the people and the expertise and the vessels to be able to launch when the weather window reopens. So very high focus on that. And I would say the dialogue continues on a pretty regular basis with Siemens.
Baltej Sidhu: Excellent. And just switching gears to the Polish BESS. As these projects are already contracted, what key milestones or execution risks need to be mitigated to get these across the line to reach FID?
Christine Healy: So there's a few things going on right now, Baltej, and that's, we have local teams on the ground in Poland. So while the projects are in -- we're really happy with the projects. We've -- as I mentioned in my comments, we've secured the supply for the batteries. At the same time, we do have to make sure that we have all the local permits that the local authorities are getting -- that we have a good relationship there, that they know what we're doing, that there's clear understanding of that. Normal, I would say, regulatory process, which the team is working through. So the intent would be that that would come forward internally for our final investment decision midyear. And so then execute on that project and to sound like a Newfoundlander, get her done.
Jeffrey Hart: Yes. So and just further, like as Christine talked to, is we secured, obviously, battery supply. And the big thing outside of the permitting and those pieces in the midyear is obviously working through the funding arrangement and project financing levers, and we're working that. And I think we'll be progressed and there's no roadblocks right now, and we'd expect to be through that by kind of around midyear, as Christine talked about. So those are the avenues that we're working.
Operator: And our next question comes from Mark Jarvi of CIBC.
Mark Jarvi: I just wanted to follow-up on a few things on Hai Long. One would be, can you continue to commission energized turbines before the weather window opens? Like can you get past the 20 that are currently selling into the grid now?
Christine Healy: So basically, Mark, the way it works right now is we do the look-ahead forecast. And if there's a window of a couple of days that we can get people out there safely to do the work, then we do it. So there is a team on standby all the time, and we make the plan based on the weather forecast, and that's updated daily. Well, certainly, the main update is weekly, but we also then adjust that daily. So if there is an opportunity to get out there, then the teams get out there.
Mark Jarvi: Got it. And then, Jeff, you mentioned that getting to 20 at this point is a little bit ahead of expectations, yet you still have the foregone PCRs at $150 million to $200 million. What has to happen for you to guys to hit the $150 million to $200 million now? Like are you tracking below that at this point?
Jeffrey Hart: Well, I think there's a number of factors embedded in here. So if you don't mind, I'll kind of go through broadly the whole pre-completion revenue and then corresponding funding requirements because I think there's a bunch of factors in there. It's not only revenue generation, it's cash collection and then how that times with our construction progress. So you're absolutely right. Like obviously, and you asked the question on the weather window here for the next month or so. Look, we don't really plan that we'll get a big amount of work because the weather will be what it will be, but we did get 20 done or 18 done from the 2 to 20, and that number will vary a little bit as we work through the issues with the turbines. So that was good performance. I think where we look to longer term to hit where we need to be is we need materially on the next weather window in early October, effectively all the turbines spinning at that point in time. And that's where, as we've always talked about, Q1 and Q4 pretty much is the heavy weather window. And so that's where you see a significant amount of generation. And I'll say generation because that's obviously more at the back end of the year and there's cash collection time frame, let's call it, 60 days or so or whatever it is, that would put the cash collection more into the cash receipt more into the new year that we would have generated. And the reason that's important is when we look at this is, obviously, when we come out of the weather window on construction, we'll be heavy into execution here on the actual project itself again. And so clearly, when you look at the back-end weighted nature of the PCR generation, the execution being more, I'll call it, front-end loaded or kind of through Q2 and Q3, we have some funding requirements because that revenue will come in after and be collected more into the new year. And so we're still looking at is, is making -- we'd have to potentially fund with the change in shape here, a potential equity injection of that kind of $150 million to $200 million that we've talked about. But as I said, we're looking for different avenues to maybe fund that within the project with partners and look at different avenues with that. And I'd expect an update by midyear on that number.
Mark Jarvi: Okay. So just to get that clear, PCR is kind of more like cash flows that you're just not catching up because there's a bit of a lag in payment versus the EBITDA. Yes.
Jeffrey Hart: A 100%. So there's 2 things. The EBITDA is more back-end weighted, #1. #2, that back-end weighted EBITDA, there is -- in any business, there's always a lag between revenue generated and cash collection and payment terms. And so we have to work through that. And so because it's back-end weighted and you've got -- you have collection thereafter in normal course, we have execution here before Q4. And so there is some construction pieces that we do have to fund. And then we're looking at different avenues in that funding. Is there something we can do at the project level. So we maybe don't have to equity inject corporately here around midyear. And that's one of the big pieces we're working through. But think of it this way, back-ended earnings in generation and then you've got time frame on collection.
Mark Jarvi: Got it. And then, Christine, you brought up the North Sea Summit and there's the investment pack that's come out of that. Outside of Poland, are there any other areas you guys are increasingly focused on in Europe and the North Sea? Is there anything in terms of partnerships that are starting to sort of pick up steam?
Christine Healy: Thanks for the question, Mark. And I would say, to be clear, Poland is not -- they're in the Baltic as opposed to the North Sea. So we see both areas as being of interest. Poland continues to be of high interest for us. We're really -- I mean, we're happy with our partnership with ORLEN. We're happy with the Baltic Power project. And so we continue to have a high interest in doing more in Poland. In the North Sea, we've been there for quite a long time. So I would consider it a very -- sort of it's a home for Northland in many ways that with our work that's been ongoing for more than a decade in Germany and the Netherlands. We do have a project in -- we have a project in development in the U.K. We're having lots of dialogue with other companies and with governments about opportunities. And we see an opportunity-rich environment for Northland. But now it's a question of making sure that we're disciplined and we pick only the very best opportunities that we want to deploy our people on to. So that I would say we're pretty selective, but we see some good opportunities in front of us there.
Mark Jarvi: And have those -- the range of opportunities, the quality opportunities improved or changed in the last couple of months?
Christine Healy: I think we've seen now that some of the recent -- the recent auctions that have happened, we see better economics for projects. And so as a result, that makes for a better environment for us. For me, I do think it's a good reflection of capital discipline across the sector that we need to make sure that the projects that we do in the future deliver the rates of return that are going to lead to success for investors as well as success for the host markets.
Operator: And our next question comes from Nelson Ng of RBC Capital Markets.
Nelson Ng: My first question just relates to the Polish battery storage project. So regarding the 17-year capacity contract, roughly how much of your total expected revenue does that cover?
Jeffrey Hart: Yes. No, and I think we'll provide further details as we go in with the economics here and when we come to final investment decision or financial close, however you want to word it. But what I would say is it's going to be a mix of merchant and capacity. And look, I'm not getting into specific percentage at this point, but it's not going to be disproportionate capacity. It will be far more balanced and between the merchant exposure and ancillary services and potential capacity payments, which is inflation indexed.
Christine Healy: And Nelson, if it's helpful to you, it's a similar model to what we see applied in Oneida.
Jeffrey Hart: What I would say is...
Christine Healy: The percentages will be slightly different as they are jurisdiction to jurisdiction, but the sort of structure of it is similar to Oneida.
Nelson Ng: Okay. Got it. And then, Jeff, a question for you. So for your 3 European offshore wind projects, you refinance those -- refinanced the debt or reduced the credit spread relatively quickly in terms of like when you're nearing construction completion. I presume discussions have started with Baltic Power and Hai Long with lenders? Or can you just comment on whether there's been discussions that have started in terms of whether it's refinancing or, yes, refinancing or having kind of discussions about the credit spread now that you see construction risk declining? I know you talked about looking at other options in terms of the capital injection for Hai Long, but can you just give a bit more color on the overall process?
Jeffrey Hart: Yes. No, 100%. So you're right. And typically, as we're approaching COD and you could look maybe 2 is when is the right time, is it right at or a little bit after, but that's something that's on our mind, and it's on the deliverables for the team to look at how we drive optimization. So #1 with Hai Long, I think there's just some market factors there, we see that we can potentially get earlier than COD on some potential mechanisms, but we'll look at that, and I'll provide an update mid-year on it. And Baltic Power, yes, we're looking at different options and avenues as we approach COD, but we'll be a little bit flexible on that. It will be market dependent. And you're right, it will typically coincide as we get to COD, but we may see windows before or a little bit after that depending on the market. But it is something that we are looking at for sure.
Nelson Ng: Got it. And then just one last question. So the Polish battery project that's EUR 200 million. I think that's roughly CAD 320 million. But if I do the math on Jurassic BESS versus the Polish project, I think Jurassic is about like 750,000 per megawatt hour. The Polish project is about 270,000 per megawatt hour. So that's roughly like over 60% lower cost. But like obviously, there's scale and there's probably geography in terms of labor. But can you just talk about the large price -- the cost difference between the Polish project versus the Alberta project?
Christine Healy: Thanks, Nelson. I think it's a great question because it really shines a light on what happens when we're early in the curve on a technology. So for grid-scale battery storage like these BESS projects, we have seen a real shift in battery pricing, which is one of the big deltas on the overall cost of these projects. So you're right that probably that's the biggest moving piece is the cost of the batteries, which is coming -- continues to come down, and we've seen a drop in that over time. The other piece, though, I would be remiss if I didn't highlight is the permitting approach. So the permitting approach that we see applying in Poland is a quicker process than we see in most jurisdictions in Canada. So when we do our project planning, we build that in based on what the permitting process is going to be jurisdiction to jurisdiction. So as you've maybe heard me say too many times, the time it takes to get things permitted really matters. Time is money in projects.
Operator: And our next question comes from Sean Steuart of TD Cowen.
Sean Steuart: First question for Jeff. The 2026 free cash flow per share bridge, it shows Baltic and others contributing $0.20 year-over-year. I guess what is the other component of that? And I know Baltic is scheduled for second half COD, but any specifics on the exact contribution start point for Baltic in that number?
Jeffrey Hart: Yes. No, there's not, I'd say, anything significantly within there, and we'll have the team follow-up with you on the details on it just because there's nothing that I'd say is particularly of interest, but I'll have the team follow-up with you on them -- on that.
Sean Steuart: The majority is Baltic.
Jeffrey Hart: Yes.
Sean Steuart: Okay. Fair enough. And then just a follow-up question on the earlier-stage development focus. Christine, you touched on optimism around Baltic expansion. In terms of the development dollars you're putting to work in 2026, earlier-stage opportunities, can you give us a sense of between Canadian gas or renewables, other projects in Europe, where you see a more clear line of sight on advancing some earlier-stage opportunities?
Christine Healy: Sure. Thanks for that, Sean. And it's a very timely question because it's something that we have been talking about sort of almost weekly, I would say, since the start of the year as we look at the different opportunities. So in terms of chase and looking at new opportunities, I would say we're sort of -- you've exactly identified we see some great opportunities for offshore wind in Europe, and we see some great opportunities for gas in Canada. And then we also have a number of projects that are in the queue that we are -- that we look at how much do we spend to mature them and at what time frame do we mature those projects. And I'll also just add to that, Sean, we also, as we talked about at Investor Day, have some, what we call value enhancement projects in the portfolio that have to compete for capital against these external new opportunities. And we have our existing opportunities in the funnel that we also want to mature. So all those things go into the mix. That's the entire concept about having a centralized development organization. So right now, I think we see that the development dollars, I'd say, would be the biggest chunks of them are oriented towards offshore -- finding the right next offshore wind project in Europe and finding or choosing the best next gas opportunity in Canada.
Operator: And our next question comes from Benjamin Pham of BMO.
Benjamin Pham: I just wanted to go to your 6% free cash flow per share CAGR guidance through the decade that you have a range that you put out there. How should you reframe the starting point of that calculation because it's a bit wonky using $1.45, also a bit wonky using $1.15 as a base? Like how do you frame that now?
Jeffrey Hart: Well, I think -- thanks for the question. I think you stand back is we obviously exceeded our free cash flow guidance in 2025, and you start to stand back and obviously, there was a bunch of onetime items in there. I think to the tune of, I'll call it, $0.20 to $0.25, whether it was -- we had that German tax benefit and a few other items. And so I think that's something that factors in. And it's also on my mind, too, is how do we continually get better on making sure we call out onetime items and we can kind of clarify this for folks. But I think that's a critical piece for us because you take all those onetime items, they're about $0.20 a share, and that makes a substantive difference to the ongoing run rate of the business.
Benjamin Pham: Okay. So you use $1.45 less, let's say, $0.25, use that as a starting point, you get to that 6% you've highlighted previously?
Jeffrey Hart: Yes. And I don't have the numbers here in front of me, right? But I mean, I think you look at it and you say, okay, well, what happened in the back-end quarter. Clearly, we had higher wind and that was -- put us over guidance. But if you look at the full year, that $0.20 to $0.25 was one of the big factors in driving us to the $1.46. And so I don't have the CAGR in front of me, but that's something that we have to make sure that we're clear on is these onetime items or kind of nonrecurring items have to factor in. And so that you have to take that away, right?
Benjamin Pham: Okay. I understand. And maybe switching to the early comments on the super cycle and volume demand being quite robust in all your key markets. Do you think your position -- I mean, you're clearly positioned well where you are now, but do you think you need to go elsewhere to position better or differently to benefit from this super cycle going forward?
Christine Healy: So thanks for the question. We had a really deep dive on this as we were preparing for our strategy for the upcoming 5 years. And we see that we have opportunity -- it's an opportunity-rich environment for us in Canada and in Europe. And these are both very large markets. So I think we have ample space for us as a company to fill in and to deliver on what we've committed for the 5-year horizon in those markets. So we're very focused on deepening where we are instead of spreading out into new locations.
Operator: And our next question comes from Heidi Hauch of BNP Paribas.
Heidi Hauch: I just want to start with, in your annual report, it had mentioned deprioritizing the floating portion of the Scotland offshore wind project. So can you talk about what drove that decision and what that might mean for the types of projects or technologies you're more likely to pursue within the growth pipeline?
Christine Healy: Super. Thanks for the question, Heidi. I appreciate it. So because we see so many fixed bottom opportunities for offshore wind, then we really had to look at do we need to move to floating right now. And I think the answer that we came to as we looked at the opportunity set is that we don't need to. And right now, we think that there are good existing technologies for offshore wind. I think that we're differentiated in our ability to deliver that and to deliver those projects well. And so maybe back to the previous question about deepening in geographies, it's also deepening in the things that we know. So we're very good at that. And so we're going to keep doing that, and we see an opportunity-rich environment for us right now. So yes, you're exactly right that we're deprioritizing the floating, and we're more focused on the fixed bottom offshore wind.
Heidi Hauch: Great. Thank you. And then can you update us on the potential to contract the remaining portion of Nordsee One. We saw that positive update on contracting 1/3. But are you still kind of in conversations to contract the remaining part?
Christine Healy: Thanks, Heidi. We keep a careful eye on that. So the 1/3 contracting leaves us -- we're happy with that in terms of having a stable cash flow from the asset as we look across the upcoming 5, 6 years. So that's very helpful. And then we see -- as you probably know, the spot price has been actually pretty robust recently. So when we see that robust spot price, how much of that are we willing to contract away in order in favor of stability. So right now, the 1/3, 2/3 split is okay for us. We continue to watch the market and look for different opportunities. And so then it gives us, in fact, optionality on that, which I really value in the portfolio, especially when you look at the new highly contracted generation coming in, it gives us a bit more room that we're not exposed to a huge amount of variability with that, and we can absorb that within the portfolio approach.
Operator: Thank you. I'm showing no further questions at this time. I'd like to turn it back to Christine Healy for closing remarks.
Christine Healy: I'll be brief and just say thank you, everyone, for joining us today, and thank you for your continued support.
Operator: This concludes today's conference call. Thank you for participating, and you may now disconnect.